Operator: Ladies and gentlemen, thank you for standing by and welcome to ANSYS Third Quarter 2015 Conference Call. Please note, this event is being recorded. With us today are Mr. Jim Cashman, President and Chief Executive Officer; and Maria Shields, Chief Financial Officer. At this time, I'd like to turn the call over to Mr. Jim Cashman for some opening remarks.
James E. Cashman III - President, Chief Executive Officer & Director: Okay. Thanks, Emily. And good morning, everybody, and thank you all for joining us to discuss our third quarter and year-to-date fiscal results. Before we get started, I'll introduce Maria Shields, our CFO, for our Safe Harbor statement. Maria?
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Okay. Thanks, Jim. Good morning, everyone. Our earnings release and the related prepared remarks documents have been posted on the homepage of our Investor Relations website this morning, and they contain all of the key financial information and the supporting data relative to our quarter and year-to-date financial results and business update, as well as our current Q4, fiscal year 2015 and preliminary 2016 outlook, and the key underlying assumptions that we've factored into that outlook. I would like to remind everyone that, in addition to any risks and uncertainties that we highlight, during the course of this call, important factors that may affect our future results are discussed at length in our public filings with the SEC, all of which are also available via our website. Additionally, the company's reported results should not be considered an indication of future performance, as there are risks and uncertainties that could impact our business in the future. These statements are based upon our view of the business as of today, and ANSYS undertakes no obligation to update any such information unless we do so in a public forum. And finally, during the course of this call and in the prepared remarks, we will be making reference to non-GAAP financial measures. A discussion of the various items that are excluded and a full reconciliation of GAAP to comparable non-GAAP financial measures are included in this morning's earnings release materials and the related Form 8-K. So with that, I'll turn it back over to you, Jim, for some opening remarks.
James E. Cashman III - President, Chief Executive Officer & Director: Thank you, Maria.
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Absolutely.
James E. Cashman III - President, Chief Executive Officer & Director: I'd like to start with a recap of the results excuse me, that the ANSYS team achieved in Q3. The results of the third quarter really are reflective of solid execution in what I'll call a mixed operating environment. Our non-GAAP revenue for the quarter of $238 million came in at the high end of our expected range and our non-GAAP EPS of $0.90 per share exceeded the high end of our guidance. We achieved top-line growth of 9% on a constant currency basis. Several geographies experienced strong constant currency growth, actually most notably in our top three geographies; Japan was up 13%, North America up 14% and Germany up 15%. Those results are demonstrative of the early success in bolstering our sales organization and focusing our efforts on major accounts, which we've talked about on prior calls. However, during the quarter there were also some lower ends on the performance scale; France, South Korea, the UK and Taiwan were notable. But fortunately, the diversity of our model, both geographically and across industries, helps to mitigate the volatility in revenue. Our recurring revenue base continued to be strong at 72% of revenues for the quarter and 73% year-to-date. In addition, with the deepening of relationships with major accounts and growth of time-based licenses, we continue to see growth in deferred revenue and backlog. It's also worth mentioning that, on a constant currency basis, we achieved 10% growth in paid-up revenue and 12% in maintenance revenue. However, the growth in the lease business on our bookings has been impacted by the slowing growth in the Apache business, primarily due to the recent consolidation in the semiconductor industry. Historically, these have been Apache's largest and fastest growing customers. Now, we think this actually creates opportunities and we've taken proactive steps, including the acquisition of Gear Design, to expand our market opportunity and to focus the technology on the problems of the future to reaccelerate our growth in this sector. So to this end, we've also created a market-unique solution for a complete chip-package-system workflow to support the growing trends in the market, particularly Internet of Things. And then finally, we're increasingly seeing that some of our industrial customers are brining chip design in-house to better control their design processes. We have active initiatives in place to leverage our longstanding relationships with them to expand the use of Apache technologies beyond their traditional customer base. Now, as some additional commentary on revenue, at the beginning of the year and at Investor Day we discussed a series of sweeping enhancements to our go-forward sales model. Now, the majority of these have yielded positive outcomes, most notably the capacity increases and the increase to (04:56) named accounts. While the hiring and productivity ramps were slightly behind the ideal schedule, and we've talked about that in the last couple of calls, we've seen some of the expected trends come to pass. Now, one part of the model that's not taken hold as quickly is the channel's contribution to new business production. Now, some of this is a function of coordinating independent companies, and then preparing them for broader portfolio coverage. But, nevertheless, performance issues have been felt. So our channel has been a positive factor in some major regions, as I previously mentioned, as Japan and Germany. So it's not an unreasonable goal, but we need to have all elements contributing to meet the potential. And this will be a major focus for us heading into Q4 and 2016, in addition to continuing our progress in the other areas. Now, of course, our focus goes well beyond the top line. And for the third quarter, we achieved non-GAAP gross margins of over 89% and operating margins of 48%, which was at the high end of our expected range. From an operational standpoint, we had several notable accomplishments during the quarter. I think I'll take time to maybe highlight three of them. So first was the August release of ANSYS 16.2. This is the next logical step towards the creation of virtual prototypes of complete systems, which is unique in the marketplace. 16.2 release also offers new physics simulation applications, including advancements in heat transfer and thermal-stress, gas flows, structural deformation and stress. And these new features, on top of the cloud capabilities which were introduced in May, continue to separate ANSYS from the competition. Secondly, in September, we announced the acquisition of Delcross Technologies, a premier developer of emag simulation and radio frequency system analysis. The acquisition will enable ANSYS users to understand how antennae interact within their operating environments and how this behavior affects the system's overall ability to transmit and receive data without interference. Now this is obviously a critical functionality, as more and more devices become connected to the Internet of Things, and it further enhances the competitive advantages of our platform. And then finally, and most recently, we also announced that we were the chosen simulation partner for GE's Predix cloud platform, which is the first and only cloud offering for industrial data and analytics. The cloud platform enables companies and industries, such as aviation, transportation, oil and gas, and healthcare, to drive insight and enable faster decision making from real-time analytics. While still in its early stages, the impact of this collaboration has enormous potential for users as efficiency and productivity gains could amount to hundreds of billions of dollars of savings over the next 15 years, according to GE. Now, before I turn the call over to Maria to delve a little deeper into the financial results, I also want to point out how aggressive we remain in returning capital to our shareholders. The resiliency of our revenue model enables us to invest in the organic growth of our business, also to augment that growth through strategic acquisitions and returning capital to shareholders simultaneously. Now, during the third quarter, we purchased 1.25 million shares of common stock for $114 million, and that brings our year-to-date share repurchases to 2.8 million shares for $243 million. At the end of the third quarter, we still had approximately 3 million shares of capacity left in our share repurchase program. And consistent with the plan that we outlined at Investor Day back in June, we intend to dedicate a portion of our strong free cash flow to returning capital to shareholders in Q4 and into fiscal year 2016. So with that brief highlights, I'll now turn it back over to Maria to discuss our fourth quarter, full year and preliminary 2016 guidance, before we move into Q&A. Maria?
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Okay. Thanks, Jim. So as we outlined in this morning's press release, we've initiated our outlook for Q4, starting with non-GAAP revenue in the range of $252 million to $260 million, and non-GAAP EPS in the range of $0.83 to $0.88. So that guidance for Q4 reflects a number of assumptions based upon our current view of the macro and our business overall. So first, ongoing pressure from FX, which we and all other multinational companies have felt all year long; continued weakness in Asia Pacific, particularly in South Korea and in the state-owned enterprise business in China, as concerns around growth have caused the economy and our business to soften; continued channel weakness in new business production; and increasing mix shift towards enterprise license agreements, which is expanding our relationships with key customers, but, at the same time, having the effect of shifting near-term revenues over the term of the agreement; and a higher tax rate, as the five years of tax benefits associated with the change in the structure in Japan expired in the third quarter. And last, but not least, as Jim mentioned earlier, our forecast also reflects the positive impact that we're seeing from the investments that we've made throughout 2015 in our direct sales force capacity. And for 2016, our preliminary outlook is non-GAAP revenue in the range of $1.01 billion to $1.05 billion, and non-GAAP EPS of $3.58 to $3.76. And I will caution, we are still in the process of working through all the details of the 2016 operating plan. But for now, we are assuming no significant changes either way in the overall macro climate. So further details around specific currency rates and other key assumptions that we've factored into our guidance are contained in the prepared remarks that we posted on the Investor Relations homepage earlier this morning. So with that, Emily, we will now open up the call for Q&A, please.
Operator: Thank you. We will now begin the question-and-answer session. Our first question is from Anil Doradla of William Blair. Please go ahead.
Unknown Speaker: Good morning, Jim and Maria. This is actually Joe Hotis (11:31) in for Anil. A quick regarding deferred revenue and backlog. Looks like we saw a pretty significant sequential decrease in both, and I'm wondering if you can provide us with some more color on the basis for that decline?
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Yeah, I think...
James E. Cashman III - President, Chief Executive Officer & Director: Go ahead.
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Go ahead, Jim.
James E. Cashman III - President, Chief Executive Officer & Director: Well, the main thing you'll see is that – what you're seeing is the impact of, in particular, the multi-year deals. So for instance, in Q3 of last year, we had $30 million, $40 million, for instance, of multi-year deals from the Apache business sector. And of course, those things aren't – while there might be some small adds over that time, there really is not a – there's not a planned renewal for those. That really speaks back to the things we talked about and we're really still working on, because it's a complicated set of things, but coming up with some form of an annualization of those booking rates. We just don't want to throw out numbers prematurely. But that was an expected consequence, in addition to the other things that we mentioned with regard to the Apache business in the main part of the call, I made a couple of comments on there. But the backlog thing you're seeing there is almost predominantly driven by that impact, and you'll see those kind of timing things go on, particularly as the number of those three-year, four-year deals increased over time, because they tend to also be very large volume deals.
Unknown Speaker: Right. Okay, great. And then, from more of a competitive perspective, are you seeing any threat from EDA companies and CAD companies adding on simulation themselves?
James E. Cashman III - President, Chief Executive Officer & Director: Well, no change in the trend. Keep in mind, most CAD players on both sides of the electronics and mechanical space have had some form of analysis capabilities bolted on for a decade or two. So, obviously, you'll see a number of those people continuing to, my guess is, in addition to adding other things as addition to going down different industry tunnels and things like that, you might see that type of thing. But I really don't think that it changes – we really haven't seen anything that changes the competitive landscape along those lines. It's really just kind of more of the same. Now, obviously, I think one thing that gets a little bit different is when you start looking at the, we think, for instance the Internet of Things, which is still evolving itself, but there is an amazing amount of work there. But the thing there is (14:11) one where there's almost a perfect collision of the electronic and mechanical worlds because you have to have those type of devices, but they also have to have the same survivability built in also, which are very like structural and mechanical and thermal kind of situations. And we haven't really seen anything along those particular lines.
Unknown Speaker: Okay, great. And then if I can just squeeze in one more, you noticed or you noted, and you have before, that hiring ramps were behind schedule again. And I noticed it was pretty much flat year-over-year. And we follow your head count or your job openings online and we've seen a little fluctuation there. Can you talk about how that build-up is playing out and what your outlook is for the fourth quarter and moving into 2016?
James E. Cashman III - President, Chief Executive Officer & Director: Well, I have to break that into two parts. First of all is that, yes, it was behind the ramp a little bit. We were pretty much – through Q3, we've pretty much kind of caught up now. But what that means is, the body (15:07) is in place doesn't mean that they've now come up the productivity ramp. So you'll still see some tailing activities of that going forward. Now, the second part of that that I really can't speak to, because we're in the process of finalizing the 2016 plan, is to what degree we might come out of the ramps in 2016 with a certain one and to what degree we might even take advantage of Q4 to try to pre-load some of those. And I really don't have an answer for that right now because we don't have those numbers nor do we have the final approved plan.
Unknown Speaker: Okay. Great. Thanks you.
Operator: The next question is from Jay Vleeschhouwer of Griffin Securities. Please go ahead.
Jay Vleeschhouwer - Griffin Securities, Inc.: Thank you. Good morning. Jim, in your prepared remarks, you noted that...
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Hey, Jay, how are you doing?
Jay Vleeschhouwer - Griffin Securities, Inc.: Hi. You noted that one of the reasons that Asia has such a pronounced effect on the business is not just the macro weakness, but that they have a propensity for doing perpetual licenses. The question is, if you could talk about the license mix in vertical market terms? For example, when you look at electronics, you noted Apache's high degree of lease revenue. But when you look at auto and other markets, are there any meaningful distinctions or trends that you might like to comment about as it concerns perpetual versus lease mix?
James E. Cashman III - President, Chief Executive Officer & Director: Well, I'd say, probably if you look at industry standpoints, the one where we saw a universal dip, and this is through Latin America, this is through parts of the U.S. even though the U.S. performed in the mid-teens, this affected the UK as I mentioned, the oil and gas expenditures are noticeably down. They tend to be one of the more cyclical industries that we get involved in. Electronics, in general, probably maybe a little bit, we see some turbulence. I think that's where we see a lot of our turbulence in, I mentioned South Korea. And there's also some other shifts going on in there. But from that standpoint, it was – as opposed to industry specific, in a couple of those major markets, they tended to be more governed by some of the turmoil that was actually going on in the macro markets of those.
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Yeah. So, Jay, just to follow on, one of the things I'll say, particularly, I think you asked about electronics, if you take a look at the commentary in the prepared remarks, we specifically called out one of the large perpetual deals. In electronics, I'd say it's kind of bifurcated. The traditional buyers of the Apache technology, that are also buyers of EDA technology, tend to prefer time-based licenses. However, on the legacy ANSYS side of the equation, those buyers still (18:17) that are largely the procurers of the legacy Ansoft technology, they still are very much perpetual model. So a large electronics customer in North America in Q3 expanded the footprint of ANSYS technology, but using perpetual model. So we will...
James E. Cashman III - President, Chief Executive Officer & Director: Yeah.
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: ...continue, as we've been saying, because I know many people in our space seem to be wanting to push customers into a certain licensing model, we are going to continue to have a hybrid model that allows them to choose whatever option they want as long as it's our technology.
James E. Cashman III - President, Chief Executive Officer & Director: Yeah. I think it's fair to probably note that while there has been a continuing shift toward the time-based licenses, we have had even a couple companies that have moved upstream that used to be traditional lease people that come forth into perpetual. The holistic move is toward more of the time-based. And of course, we're still in the middle of the ramp-up phases of the cloud business. So emphasizing Maria's point that basically what we don't want to do is create some artificial constructs. Our business model will evolve in the direction of the market. But in the interim, we don't want to create any stumbling blocks based on pure acquisition of the technology.
Jay Vleeschhouwer - Griffin Securities, Inc.: All right. My follow-up has to do with your channel comments. Actually I do have a clarification question on Apache. But on the channel, earlier this year, you segmented the channel between what you call the Elite and Standard designations. And could you dive into that a little bit more as to how that's going? Is it the Elite that perhaps might not be performing or the Standard or both? And could you just elaborate on that? And then on Apache, shouldn't we have expected any way that their growth might have slowed? They were pretty strongly in the mid-to-high teens for quite a while. So they would at least have had a tough year-over-year comp, and they already have at least half of their addressable space in EDA. So shouldn't we have expected any way that their growth might have slowed irrespective of the consolidation of the customer base?
James E. Cashman III - President, Chief Executive Officer & Director: Well, first of all, we did expect that, but it was accelerated by some of the movements we've seen there. However, one of the things that was most important was the evolution of that technology from being primarily a validation tool at the end of the process to a design tool throughout the process, pretty much along the way that we've taken the rest of the technology. That was one of the main things that we've been driving with the development plans as well as the acquisition of Gear and some of the other things that we've done along those lines. So that's progressing, but it was a little bit more perturbed than usual. Now with regard to the channel question, you asked about the Elite. In general, I probably have to say that holistically it's not been uniform. It's not like the Elites all did well and the second tier (21:21), but most of the goodness happened in Elite, and I think I kind of underscored that. If you look at the overall performance in Germany and Japan, obviously those are areas where we have longstanding, more mature channel partners, who happen to be Elite Channel Partners in that particular standpoint. So they cover broader portfolio already. They didn't have some of the issues that are involved in broadening out to cover some of those capabilities. And again, sometimes with the smaller independent channels, the movement, whether it's expanding their channel, getting certifications, things like that are key. That's going to be a major focus and that's what stretched out. That's why we don't see maybe the same commensurate production from them at the end of the year as we're going to see in some of the other parts of the business. You'll see a spread between there. However, that's going to be a major focus for us going on. And like I said before, it's not like, "Oh, the channel can't handle this" because we have evidences of some of the really good channel partners who are just keeping step with us and that's the thing we're going to do. All in all, most of the things we did with the sales force evolution has borne fruit, but we'd just point this one out as one that needs additional work, but we've got our sights on it and we know what the issues are.
Jay Vleeschhouwer - Griffin Securities, Inc.: Thanks very much.
James E. Cashman III - President, Chief Executive Officer & Director: Okay. Thank you.
Operator: Our next question is from Steve Ashley of Robert W. Baird & Co. Please go ahead.
Steven M. Ashley - Robert W. Baird & Co., Inc. (Broker): Hi, thanks. I would just like to ask about TBLs in the fourth quarter and I don't know if you're going to be able to put a number around this, but what kind of dollar impact might happen or occur in the fourth quarter because of the shift year-over-year to TBL purchases?
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Steve, I could make up a number, but there'd be no precision to it. We know that those deals are being worked. And whether or not they make it to Q4 or they push to Q1, we've tried to factor all of that in to our outlook. But we do know of a few traditional deals that are being worked that those customers in past times have used year-end monies, but have gone the perpetual route. And because of the terms and conditions of what we're working with them, those deals will manifest themselves as ratable recognition as opposed to paid-up revenue in the fourth quarter.
James E. Cashman III - President, Chief Executive Officer & Director: Quite frankly, we know we have some other very large deals that are coming in, but they're going to come in as time-based license, which means you're going to see the expected depression in the first quarter of the implementation, be it Q4, Q1, you should also see that kind of catch-up over the course of the year. For that matter, some of the deals have gotten complicated to the point where we run across the thing which our finance people love and sometimes I've groused at, but it's called VSOE, but it's – vendor-specific objective evidence. And it's essentially, even sometimes when perpetual deals come in with a much broader structure attached to them, we may still have to ratably spread those over. And that's some of the things that you're seeing, which optically look one way, but it's still building a reasonable book of business.
Steven M. Ashley - Robert W. Baird & Co., Inc. (Broker): Right. And then as you look out to 2016, you provided guidance, and currently you have a couple of areas that are soft. You talked about South Korea, you talked about the United Kingdom, maybe even the oil and gas business, what are your (25:07) assumptions and what do you think about those businesses regarding 2016 guidance, in general?
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: In general, Steve, since we see no indication of improvement and I don't have any crystal balls, we're just going to assume that it's going to continue to be soft. And that's why we've got, at least initially, a wider spread on the top-line outlook, just to compensate for things that hopefully get better, but may get a little worse before they get better, we just don't know. So we've tried to factor in everything that we know today into our very preliminary outlook for next year. And as I said, we're still working through the details of the top-down and bottoms-up and everything that's going to into it. So, it is preliminary.
James E. Cashman III - President, Chief Executive Officer & Director: And by the same thing, since nobody has asked, but somebody may ask, we're likewise not expecting Russia to return to its performance when it was one of the uprising BRICS two years or three years ago. We're still kind of expecting it at its purely (26:16) sedate level. So when we see those type of things, if we don't see the evidence going forward, bottom line is, if it does pick up, we already have the relationships, we already have the support structure in place. In most cases, we're just telegraphing some keys over to them and we can cover that, but we're just not building that into our overall assumptions. It'll be upside if it improves.
Steven M. Ashley - Robert W. Baird & Co., Inc. (Broker): Perfect. Thanks.
James E. Cashman III - President, Chief Executive Officer & Director: Thank you.
Operator: Our next question comes from Sterling Auty of JPMorgan. Please go ahead.
Sterling Auty - JPMorgan Securities LLC: Yeah, thanks. Want to drill further, I guess, into the perpetual side. You mentioned the ones that might go TBL for the fourth quarter, but you had the large deal that closed during the third quarter to aid the upfront or perpetual results. What does the pipeline look for the fourth quarter and how much, to your point, did you factor in the potential for softness or slippage within the new guidance?
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: So, Sterling, what I'll say is, no doubt, when we last talked to you guys in early August, we were feeling much better about the world than where it ended up at the end of the quarter. The good news is, and we've been saying, the sales pipeline was strong enough that, as some of the fallout happened in Asia Pac at the end of the quarter, we were able to make that up with other deals that were in the pipeline and that were being worked. That deal that went perpetual, it was in the forecast. We knew it was coming. So luckily, there were enough other things happening that sales was able to compensate for the fallout in Asia Pac in Q3. But as we look at the Q4 pipeline, because of the composition of the deals and the likelihood that those deals that will come in will be ratably recognized, we just wanted to factor that in. And that's why we adjusted the guidance down, to try to deal with the fact that some of those just will not hit the top-line all-in in Q4.
Sterling Auty - JPMorgan Securities LLC: No, I think that's fair. A follow-up question; I know it's tiny, but just so that we talk about it, what was the revenue contribution to the quarter, and to the guidance, from the new acquisitions?
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: From Delcross?
Sterling Auty - JPMorgan Securities LLC: Yep, and from Gear?
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: It's less than, yes, about $1 million.
Sterling Auty - JPMorgan Securities LLC: Yep. I knew it was small, but again, I just wanted to ask. So $1 million to September, and is that kind of what we should think the run rate contribution, or does it ramp up a little bit for the next couple quarters?
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: No, for Q4, I think that's probably kind of in line as well. That new technology, as you know, it takes a while. We are preparing all the materials and we're going to begin the training for the channel and for our own field, but it's going to take a while for some of those things to have an impact.
James E. Cashman III - President, Chief Executive Officer & Director: Yeah. And the other thing, and I mean exactly what Maria said, but additionally, one of the things we really liked about Delcross was the way that it just automatically complemented another one of our flagship products, HFSS, for basically the high frequency. And in keeping with all of our acquisitions, one of the first things we want to do is get that technical interaction – the technical integration done between those. So there's a natural link for people buying and it's just not buying a couple of random, dissociated products. Another thing, it came on because you're asking a little bit about the future and the build-up these things. We've actually seen quite a build-up in the pipeline, in particular, of the enterprise license agreements. So it's well more than a doubling of the opportunity there. And the general pipelines have also been building up. But now, bringing those in, getting the channel where you're able to (30:37) address those, taking those over a spread period, and also realizing that, particularly as the ELAs come in, that they – again, they start out ratably, they build up nicely, but they start out along those ways. So those forward signs are still in the same level of positivity.
Sterling Auty - JPMorgan Securities LLC: Great. Thank you, guys.
James E. Cashman III - President, Chief Executive Officer & Director: Thank you.
Operator: Our next question is from Steve Koenig of Wedbush. Please go ahead.
Steve R. Koenig - Wedbush Securities, Inc.: Good morning, Maria and Jim.
James E. Cashman III - President, Chief Executive Officer & Director: Good morning.
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Hello.
Steve R. Koenig - Wedbush Securities, Inc.: One question and then one follow-up. I'd like to get more specific about the ELAs. And so you've talked about the mix shift that could happen in Q4 and you talked about the shift to leases, and you've also talked about a potential shift to more ELAs. Can you be a little more specific about the ELAs versus the leases, and how much of your mix are we talking about for the ELAs?
James E. Cashman III - President, Chief Executive Officer & Director: Yeah.
Steve R. Koenig - Wedbush Securities, Inc.: And this mix shift more generally, what's the composition of it?
James E. Cashman III - President, Chief Executive Officer & Director: Well, first of all, I guess inherently leases are traditionally time-based licenses themselves. However, the time is usually pegged right at 12 months. I mean there are a couple of exceptions there. They also can be anywhere over the spread in terms of revenue. They can be anywhere from $20,000 leases to a few-hundred-thousand-dollar kind of leases. Enterprise license agreement has typically – typically it is time-based license. It is typically multi-year, as we discussed a little bit on some of the ebbs and flows of the Apache business for instance, typically being around three years to four years, almost always multi-product type of sales, which can be a little bit – sometimes it can be more complicated from a sell, it can be a little bit more complicated from a buy, as different buying centers inside of companies try to figure out how they're going to handle the purchase requisition and things like that. So that's the fundamental difference. And what we're seeing is that – I'd probably say that in general that leases have been a pretty steady, nice portion of our business for years. And those portions are staying somewhat – we see them inching up a little bit, but there is not a huge sea change there. Where we are seeing major shifts are when people go from, if you will, like generation one of usage patterns to now a much more prolific use of those. And when they do that, now the purchase dynamics change, and that in almost all cases is where you see the ELAs get invoked. And I'd say in most cases, they tend to slightly protract the buying cycle, but we've already seen some of the positive results even in light of that.
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Yeah. And Steve, just one thing I'll add to that is don't expect that this is like hundreds of customers. What you're really talking about is a targeted group of probably, right now over the course of the next 12 months, let's just say 20 that have been identified as real opportunities, both on their side of the equation as well as ours, to expand the use of simulation broader across those enterprises beyond what they've historically done. And as you said, it's been a year now. Our first one that we announced was almost a year ago in the fourth quarter in the form of Cummins. So they take much longer because some of it are, as Jim said, internal politics and budgeting and who's going to pay for it. But when they do happen, they are then, I'll just call it, a next important step in our journey with these customers, many of them which have been using our technology for decades.
James E. Cashman III - President, Chief Executive Officer & Director: Yeah. And one thing I'll add (34:37) when you talk about the current pipeline being – we're dealing with 20, couple dozen, or something like that. If you look at the ones that we're engaging with that might be in a multi-year buying cycle, you're getting closer to the 50 and above, which is more along the lines of the named accounts that we're moving too. But again, these things tend to be highly developmental.
Steve R. Koenig - Wedbush Securities, Inc.: Got it. Okay. Thanks for that. My one follow-up is on the GE partnership. Could you give us a little bit more color about some of the milestones in that partnership? And specifically, in terms of when revenues might start to flow from that and who's going to be selling it and target market?
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Are you talking about Predix?
James E. Cashman III - President, Chief Executive Officer & Director: Predix.
Steve R. Koenig - Wedbush Securities, Inc.: Yes, Predix, yes.
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Okay. So what I think the initial steps relative to that relationship, Steve, are really going to be expanding the growth within GE itself in some of the places within GE where ANSYS historically does not have as broad a footprint as say some of the very early adopters like aircraft engines. And then over time, we see that as an opportunity as their platform expands to then be able to offer our simulation as an important part of that Predix platform. But given that this was just announced, we see this evolving over time. But the first manifestation of that will really be expanding our footprint within the GE businesses themselves.
James E. Cashman III - President, Chief Executive Officer & Director: I'd say that the primary thing is – the interesting thing is that this was both predicated and facilitated by the fact that it really is right in line with our stated product roadmap for the last two years or three years. So the fact is there was something that we immediately were able to plug in to. So it's not even – I mean it's an area we're going to invest in, but it's really not, if you'd call it, an investment area in the standpoint of cordoning off and siphoning off a bunch of different resource in kind of a Skunk Works kind of product. And GE's been a great customer of ours for a number of years. A couple of years ago, we actually announced we had signed a joint technology development agreement with them to kind of push this new technology. And I don't think – maybe people can't say exactly where all this technology is going, but nobody denies the fact that it's going to be very large. And being partnered with the best companies in the world has always been a really good thing for us on a long-term product standpoint.
Steve R. Koenig - Wedbush Securities, Inc.: Great. Thanks a lot.
James E. Cashman III - President, Chief Executive Officer & Director: Thank you.
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Absolutely.
Operator: And our next question is from Ross MacMillan of RBC Capital Markets. Please go ahead.
Ross MacMillan - RBC Capital Markets LLC: Thanks a lot for taking my questions. So, Jim and Maria, I understand the shift towards time-based license has a depressing effect on the P&L, but if I look at bookings, that should mitigate that impact because we should capture what's going both into deferred and into backlog. And the bookings number this quarter, I think, was relatively weak. And I'm just trying to understand, six months ago we were talking about the potential for acceleration in the business. Obviously, the global macro is not what we thought it might be, but is there anything else going on in the business that's creating this, I guess, what I view at least in this quarter as a softer bookings number?
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Yeah. I think, Ross, Jim addressed this earlier, but just in case there's other people who didn't hear it. If you're just looking at Q3 specifically, the decline is because of about $30 million worth of deals that were booked last year in the third quarter related to the Apache business, which were in fact time-based licenses. So we booked them. They will roll out into revenue over the course of two years or three years depending on the length of them. So we knew that they were not going to renew them again this year. So when big deals like that happen, they can cause lumpiness in bookings in, if you're looking at it, period-to-period.
James E. Cashman III - President, Chief Executive Officer & Director: Yeah. And actually, we look at those numbers too. And we saw and dug into them pretty quickly. And if you take out that multi-year impact of the Apache thing, the bookings growth are right in line with the revenue growth.
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Constant currency.
James E. Cashman III - President, Chief Executive Officer & Director: Constant currency (39:29).
Ross MacMillan - RBC Capital Markets LLC: Okay, okay. And then just one question just to help my math. Do you have the FX impacts on the deferred revenue balance sequentially? Do you have that at hand?
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: It's about $300,000.
Ross MacMillan - RBC Capital Markets LLC: Okay, so pretty small. Okay, that's great. That's all from me. Thank you.
James E. Cashman III - President, Chief Executive Officer & Director: Okay. Thank you.
Operator: Our next question is from Monika Garg of Pacific Crest Securities. Please go ahead.
Monika Garg - Pacific Crest Securities: Thanks for taking my question. First on the Apache side, if I look at – none of the EDA companies have yet called out any impact on their business of semi consolidation, they do talk about it could impact them. But you did talk about Apache, you are seeing some impact. So question is do you think maybe it's the competition from either EDA companies catching up in that field or maybe as semi industry consolidates, they're also consolidating their EDA vendors and maybe given that traditional EDA vendors, Synopsys, Cadence, Mentor, have complete line of solutions in that, they are consolidating towards those companies?
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: So what I would say is traditionally the Apache business has been heavily, heavily influenced by the top 20 in semis. And so as these renewals come up, no doubt when two or four or six of their largest customers now become half, no doubt the capacity that they used to consume when they were standalone companies is not as great as the capacity that they're going to consume going forward. That is why we have tried to take a look at where that technology and where those customers are going into the future, and have acquired technology like Gear to drive the use of that technology to solve the problems of the future, as well as created new uses and workflows with not only their technology, but other technology we have in our portfolio to also address the needs of customers. And some customers who were not traditional Apache customers is where we see expanding our footprint with that technology. So it is having an impact, but we believe there are opportunities, as we shift our direction and our execution, to reaccelerate some of the growth in that business.
Monika Garg - Pacific Crest Securities: Thank you. Then just the follow-up. You've talked about double-digit top line growth, but if you look year-to-date constant currency, it has been less than 10%. And your next year kind of outlook is still, midpoint, about 7.5%. So maybe, could you talk about – is it that, given that your business is now close to $1 billon top line, that it is harder to grow double-digit, or is it something else? Thank you.
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: No doubt, it's always hard to grow double-digit. But, as we look at some of the areas of the business that are softer, some of them are, no doubt, they are macroeconomic and there's nothing we can do about it. Jim mentioned – Russia a few years back was tremendous growth for us. However, given the situation, there's just not a lot of technology that's being deployed in Russia these days, at least not Western technology. But, the things that we are doing on the direct sales capacity, and signs that we're seeing, give us confidence. And North America, Germany, and Japan, which are our three largest markets, all growing constant-currency double-digits, we know it can be done, but we've got work to do in the elements of the business that are not producing, putting aside macro issues, particularly in new business production in the channel. It's just got to get better, or we're going to have to do something about it. But we still have confidence that, if the macro were working in our favor and the things that we know could, let's just say from an execution perspective, be stronger, we could get to the high end of the guidance, as opposed to the midpoint. But for now, it's early and we're trying to give you a spread that we believe compensates for the things that will go well, as well as the things that won't go so well.
Monika Garg - Pacific Crest Securities: Thank you so much.
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Absolutely.
Operator: Our next question is from Arvind Ramnani, Gordon Haskett. Please go ahead.
Arvind Ramnani - Gordon Haskett Research Advisors: Hi. I just wanted to sort of follow up on Steve's question, and just address it a little bit more broadly. You've talked about targeting the wider engineering community. You have various efforts to expand your target market base. But how are you sort of measuring your progress? You're obviously not going to go from like a 10% to like a 90% over a short period of time. But how are you thinking you'll progress to reach that broader client base?
James E. Cashman III - President, Chief Executive Officer & Director: Well, the main thing we look at is, as we've always shown, like at an Investor Day when we show some of the statistics, obviously, with 45,000 customers, they don't all unveil all that. We couldn't handle all that data. But by sampling the top 100 or so, that roughly represent around 30% of our business, a really good sampling technique, we look at the average penetration by number of users. There's one thing that talks about, you might have people buying higher levels of software, and we've had that happening. We've seen HPC continue to grow, but looking at the number of users that are growing in those things. Now, the one thing – and it's pretty evident, is that entering into an enterprise license agreement almost always signals a broader base of those people. But again, if you will, it's moving down that pyramid of usage, as opposed to, it's not just one big step function of opening up the floodgates.
Arvind Ramnani - Gordon Haskett Research Advisors: Great. That's helpful. And a similar question on kind of the broader opportunities that the Internet of Things and your products. Clearly these may be kind of smaller revenue contributors in the near term, but over time they may end up contributing a bigger portion of it, portion of your growth to come from these newer (46:16) initiatives. So what are some of the interim things (46:18) that you use to measure kind of success with these newer initiatives that you're sort of investing in, in these new initiatives?
James E. Cashman III - President, Chief Executive Officer & Director: Well, so for instance, there are different centroids. While the Internet of Things for instance requires, as we mentioned before, not only the electronic functioning, but the structural reliability and survivability. We see those things, the first wave of those (46:40) we look at those product lines, and where we see growth by different customers going in there. So for instance, it started off with – the electronics business unit has been a little bit stronger for us in the last couple of quarters, moving the dial in that particular direction. The second thing we'll be able to track is, because we put together some specific packaging that relates to this overall concept of a comprehensive view of chip-package-system being able to look at how those packages, how quickly they gain traction as sellable entities, because those are really focused towards some of these end-user use cases.
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Arvind, one other thing I'll add, when you talk about some of the initiatives, and you've seen some of our recent announcements around startups. Startups, they have a very short lifecycle. They can either make it or they don't make it. So simulation is a huge opportunity for them to take their brilliant idea and either turn it into something like the Nebia shower or go out of existence. And so we've been also targeting, not only our larger accounts where we know we are underpenetrated, and there is a huge opportunity to grow within those; but also at the other end of the spectrum, we are focusing on things like startups as well as the new academic offering that we put out a couple months ago relative to targeting future users in academia through giving them access to technology so that they can get familiar with ANSYS technology. So we are doing a number of things at the high end and at the low end to try to continue to democratize the use of simulation across the broader population.
Arvind Ramnani - Gordon Haskett Research Advisors: Great. That's very helpful and good luck for the rest of the year.
James E. Cashman III - President, Chief Executive Officer & Director: Thank you.
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Thank you.
Operator: Our next question is from Jason Rodgers of Great Lakes Review. Please go ahead.
David M. Stratton - Great Lakes Review: Hi, this is David Stratton on for Jason Rodgers. And when I look back at the head count, if I go all the way back to March, it was at 2,750, and now it's at 2,760. And I just was wondering why that is marginally not very different considering all the hiring that you've been doing.
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Well, we do hiring, but we also – if you think about we've been over the past several years also acquiring. So when you acquire, there are natural, I'll call it, redundancies and some of the go-to-market changes that we've been doing. So it's not just incremental hiring. Some of it is also making changes in the organization that give us capacity to change our direction or to add talents that we need for the future. So it's not always just adding more heads, some of it is extracting heads out of the existing business so that it gives us room as we move forward to think about what new talents and skill sets we need to add to the organization.
David M. Stratton - Great Lakes Review: All right. Thanks. And then as a housekeeping issue, can you breakout the FX impact on your operating income and net income?
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Yeah. I think it's all laid out in the prepared remarks.
David M. Stratton - Great Lakes Review: Okay. Do you have a page that would be on?
Maria T. Shields - Chief Financial Officer & Vice President, Finance and Administration: Yeah. Here, I'm pulling it out right now. It's on page eight. So $17.8 million on revenue and $11.5 million operating income.
David M. Stratton - Great Lakes Review: All right. Thank you.
Operator: That concludes our question-and-answer session. I'd like to turn the conference back over to Jim Cashman for any closing remarks.
James E. Cashman III - President, Chief Executive Officer & Director: Okay. Well, first of all, I'd like to thank all of you for participation on the call today and for your ongoing support of all we've been doing over the years. So summary, much has been achieved so far this from both an operations and a financial perspective. However, we know that a lot of work remains to be done to maintain our industry-leading competitive advantages. We've spoken about a lot of those, thanks to your question. We have to continue to focus on improving our sales and channel execution in those certain geographies that are lagging and, again, we discussed that in detail. And in closing, I'd just like to take the opportunity, as always, to thank the entire ANSYS team for their commitment to driving the results we've just had in addition to the ones in the future. So in short, we remain committed to driving shareholder value by continually leading our industry with innovation and outstanding customer support with some of those great customers we've talked about. And we look forward to sharing our fourth quarter and full year results with you in February. So thank you very much and talk to you in a couple of months.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.